Operator: Thank you for standing by. My name is Rebecca, and I will be your conference operator today. At this time, I would like to welcome everyone to the iHeartMedia Q3 2024 Earnings Call. [Operator Instructions] I would now like to turn the call over to Mike McGuinness, Head of Investor Relations. Please go ahead.
Mike McGuinness: Good morning, everyone, and thank you for taking the time to join us for our third quarter 2024 earnings call. Joining me for today's discussion are Bob Pittman, our Chairman and CEO; and Rich Bressler, our President, COO and CFO. At the conclusion of our prepared remarks, management will take your questions. In addition to our press release, we have an earnings presentation available on our website that you can use to follow along with our remarks. Please note that this call may include forward-looking statements regarding our financial performance and operating results. These statements are based on management's current expectations, and actual results could differ from what is stated as a result of certain factors identified on today's call and in the company's SEC filings, including today's recent 8-K filing. Additionally, during this call we will refer to certain non-GAAP financial measures. Reconciliations between GAAP and non-GAAP financial measures are included in our earnings release, earnings presentation and our SEC filings, which are available in the Investor Relations section of our website. And now I'll turn the call over to Bob.
Bob Pittman: Thanks, Mike, and good morning, everyone. Before we discuss the company's third quarter operating results, I want to provide 2 important and positive updates. The first is about our capital structure. As you may have seen in our 8-K filed this morning, we're pleased to report that we have entered into a Transaction Support Agreement with a group of debtholders representing, on an aggregate basis, approximately 80% of the company's outstanding debt. We've agreed to pursue and the supporting debtholders have agreed to support exchange offer transactions that will be offered to all holders of the company's existing debt. The exchange offers will accomplish 3 things: one, they will extend the majority of our debt maturities by 3 years; two, our current consolidated annual cash interest expenses will remain essentially flat; and three, they will provide for some overall debt reduction. We expect the exchange offers to close prior to the end of the year. The high levels of support from our debtholders demonstrates the confidence they have in the future of our business, for which we are extremely appreciative. The Transaction Support Agreement marks an important step in our commitment to optimize our balance sheet, and it provides the company with the flexibility to remain focused on continuing iHeart's transformation. The second is an update on our ongoing modernization initiatives and the associated cost savings. As a reminder, iHeart is a high operating leverage business. Technology is the key to increasing our operating leverage, and it is a constant focus for us. It allows us to speed up processes, streamline legacy systems, and it enables our folks to create more, better and faster. We've now taken another significant step in our modernization journey: flattening our organization, eliminating redundancies and breaking down silos. It will be easier to do business with us and easier to get our business done as well as accelerate revenue growth. And this new use of technology will have a major impact on cost, reducing our annual expenses by approximately $150 million in 2025. Coupled with the full year benefit of actions taken earlier this year, this brings our total annual cost savings to $200 million in 2025 compared to 2024. In addition to improving our operations, these cost savings give us greater certainty in delivering our financial performance for next year and beyond. And we will continue this modernization process as we further deploy AI and other advancements to transform our operating structure as we move forward. Now turning to our financial results, we're pleased to report that our third quarter 2024 results were in line with our previously provided adjusted EBITDA and revenue guidance ranges, and we see continued evidence that this is a recovery year for advertising revenues. While the marketplace is dynamic, we continue to see strong momentum in our podcast business, our digital ex-podcast business and the sequential improvement of our Multiplatform Group's year-over-year revenue performance. In addition to the continuing positive impact of an ad market recovery, our results also reflect the power of our assets, the upside from political advertising and the benefit of our ongoing focus on cost efficiencies. Now let me take you through some of the key financial results for the quarter. In the third quarter, we generated adjusted EBITDA of $205 million, within the guidance range we provided of $200 million to $220 million. Our consolidated revenues were up 5.8% compared to the prior year quarter, in line with our guidance of up mid-single digits. And excluding the impact of political, our consolidated revenues were even up 2% compared to the prior year quarter. Turning now to our individual operating segments, the Digital Audio Group generated third quarter revenues of $301 million, up 12.7% versus prior year, in line with our previously provided guidance of up low double digits, and represented approximately 30% of the company's total revenue and is now about half the size of the Multiplatform Group's revenue. For the quarter, the Digital Audio Group generated adjusted EBITDA of $100 million, up 6.8% versus prior year. The Digital Audio Group's adjusted EBITDA margins were 33.2%, continuing the trend of sequential margin improvement in each quarter this year. The Digital Audio Group's earnings are now almost 3/4 the size of the Multiplatform Group's earnings. Within the Digital Audio Group are our podcast revenues, which grew 11% versus prior year, in line with our previously provided guidance of up low double digits. Our nonpodcast digital revenues grew 14% versus prior year, and we expect that strength to continue as well. In September, iHeart was once again ranked the #1 podcast publisher in the U.S. according to Podtrac, and our financial discipline in podcasting continues to pay off, as our podcasting EBITDA margins remain accretive to our total company adjusted EBITDA margins. As a reminder, our leadership position in podcasting is, in part, the result of the power of our broadcast radio assets. We have used those assets to build not only the podcast business, but also the iHeartRadio app, which is the #1 digital radio service, and our marquee live events business, which includes the recent iHeartRadio Music Festival as well as the upcoming iHeartRadio Jingle Ball Tour. In addition to our industry-leading podcast business and our digital radio streaming service, which has 5x the digital listing of our closest competitor, we also have the largest social footprint of any audio service by a factor of 6, and we operate 3,000 national and local websites that reach more than 140 million people in the United States each month, all of which represent additional opportunities for our advertising partners to interact with our highly engaged consumer base and provide additional revenue growth for the company. Turning now to the Multiplatform Group, which includes our broadcast radio networks and events businesses. In the third quarter, revenues were $620 million, down 1.1% versus prior year, in line with our previously provided guidance of down low single digits, and down 2.9%, excluding the impact of political advertising. Adjusted EBITDA was $130 million, compared to $162 million in the prior year quarter, due primarily to the timing of certain noncash marketing expenses associated with our iHeartRadio Music Festival, which we discussed last quarter, as well as expenses associated with serving as the exclusive audio home of NBC's coverage of the 2024 Summer Olympics in Paris. We believe NBC's ratings success further validates the strength of our relationship with our listeners and the power of our multiple platforms, including broadcast radio, to drive performance for our partners. And there's one more point I want to make about the power and uniqueness of our broadcast radio assets that's particularly relevant right now. Over the past few years, we've done groundbreaking work to identify and understand the ignored consumer as part of our ongoing tracking of the American consumer. This is a huge consumer group that feels ignored and even disrespected by the media and advertisers. Indeed, this week's national election could even be thought of as the revenge of the ignored consumer. Let me tell you who they are. Their top participatory sports are not golf and pickleball; they're cornhole and bowling, with hunting and fishing not far behind. They have deep respect for religion, the military and the police, and they span gender, age, ethnicities, geographies and income levels. We saw this ignored consumer and the wave of public dissatisfaction coming. How? We've been connecting with these ignored consumers for years through our network of trusted host and broadcast radio stations who talk and engage with them on a daily basis. These ignored consumers will have a tangible impact on business and marketing decisions, going forward. And given our unique position here, we think we'll benefit from that. And with our Multiplatform Group, we're also continuing the important development of programmatic platforms that will enable the automatic buying, selling and planning of our broadcast radio inventory, which allow us to participate in the growing and substantial digital and programmatic TAMs. Turning to the Audio & Media Services Group, revenues were $90 million, up 45.3% year-over-year, and adjusted EBITDA was $44 million, up 162% from $17 million in the prior year. Excluding the impact of political, the Audio & Media Services Group's revenues were still up 13.7%, driven primarily by the growth in digital revenues. Digital is an important growth area for Katz, and the ad tech investments made across iHeart will continue to enhance that performance. Before I turn it over to Rich, I want to take a moment to acknowledge the incredible work of our teams on the ground as 2 hurricanes impacted the country last month. As the storms approached, our local stations updated listeners to forecast and provided life-saving insights in how to prepare for storms of this magnitude. And as the storms made landfall, our teams remained on site and on the air, providing critical real-time updates to our listeners, often the only source of information available, as power outages knocked out TV stations and took down cell and WiFi service. We're extremely proud that in the midst of these overwhelming natural disasters the people of iHeart continued to do what they do best even as they were personally impacted: tirelessly supporting their communities in times of need, serving as trusted and necessary sources of information, assistance and vital personal connection when nobody else could. And now I'll turn it over to Rich.
Rich Bressler: Thank you, Bob. As I take you through our results, you'll notice that our third quarter 2024 EBITDA results were in line with our revenue and adjusted EBITDA guidance ranges. Our Q3 2024 consolidated revenues were up 5.8% year-over-year, in line with the guidance we provided of up mid-single digits. Our consolidated direct operating expenses increased 7.8% for the quarter. This increase was primarily driven by higher variable content costs related to the increase in digital revenues. Our consolidated SG&A expenses increased 6.4% for the quarter. The increase was driven primarily by the timing of higher noncash marketing expense due to the 2024 Summer Olympics and the iHeartRadio Music Festival as well as costs incurred in connection with the cost savings initiatives implemented in the third quarter. We generated third quarter GAAP operating income of $76.7 million, compared to income of $69 million in the prior year quarter. Our third quarter adjusted EBITDA was $205 million, within the guidance range we provided of $200 million to $220 million, and compared to $204 million in the prior year quarter. Turning now to the performance of our operating segments. And as a reminder, there are slides in the earnings presentation on our segment performances. In the third quarter, the Digital Audio Group's revenues were $301 million, up 12.7% year-over-year, and they comprised approximately 30% of our third quarter consolidated revenues. The Digital Audio Group's adjusted EBITDA was $100 million, up 6.8% year-over-year, and our Q3 margins were 33.2%. Within the Digital Audio Group are our podcasting revenues of $114 million, which grew 11% year-over-year, and our nonpodcasting digital revenues of $187 million, which grew 13.6% year-over-year, reflecting the investments we have made in building out our more diversified digital capabilities, even though some of those incremental revenues came in at a slightly lower margin. The Multiplatform Group's revenues were $620 million, down 1.1% year-over-year or down 2.9% excluding the impact of political. Adjusted EBITDA was $130 million, down from $162 million in the prior year quarter, and the Multiplatform Group's adjusted EBITDA margins were 21%. Turning to the Audio & Media Services Group, revenues were $90 million, up 45.3% year-over-year, and adjusted EBITDA was $44 million, up 162% from $17 million in the prior year. Excluding the impact of political, the Audio & Media Services Group's revenues were up 13.7%, driven primarily by the growth in digital revenues. As Bob mentioned in his remarks, this morning we announced that we have entered into a Transaction Support Agreement with a group of debtholders representing approximately 80% of our existing debt to support an exchange of approximately $4.1 billion of debt for new notes and term loans. The key highlights here are that as a result of the transaction contemplated by the agreement we expect our new notes and term loans to have maturities ranging from 2029 to 2031, and we expect to slightly reduce our total debt levels. We also know many of you have watched carefully to see if an extension of our debt would increase our cash interest payments, and I am pleased to say that our annual cash interest expense will remain essentially unchanged. And notably, none of the exchange transactions will have any impact on the equity capitalization of the company. Overall, this transaction strengthens the company's financial flexibility while providing iHeart with ample runway to accelerate our strategic growth initiatives. This marks a significant step in the company's strategy of disciplined balance sheet and capital structure management, and we look forward to continuing to dialogue with additional debtholders in the coming weeks. At quarter-end, we had approximately $4.79 billion of net debt outstanding, which was the lowest net debt position in the history of our company. Our total liquidity was $858 million at quarter-end, which includes a cash balance of $432 million. Our quarter-ending net debt-to-adjusted EBITDA ratio was 7.2x, and we expect to end the year at approximately 6x. In the third quarter, our free cash flow was $73 million, compared to $68 million in the prior year quarter. Before I get into our detailed guidance, I want to spend a moment on our technology-driven efficiency actions and how you should think about them in the context of our financials. As Bob mentioned, as a result of the initiatives we announced today, we reduce our annual expenses by approximately $150 million in 2025. And when we couple that with the full year benefit of actions taken earlier this year, we will generate $200 million of cost savings in 2025 compared to 2024. There will be some ordinary cost add-backs to the business, like increasing music license fees in line with growing revenues, contractually obligated increases to certain licensed products and services and additional compensation expense as we continue to invest in high-growth areas, among others, which are expected to add approximately $50 million to our 2025 expense base. This results in net savings of approximately $150 million in 2025 compared to 2024. Our continuous focus on cost efficiency not only helps to unlock the value of the company's assets, it also provides us with the financial flexibility to weather periods of advertising uncertainty. Let me now give you some context for our Q4 guidance. As a result of the change in the Democratic presidential candidate, we expect our political revenues to be only slightly better compared to the last presidential election cycle in 2020, which was slightly less than we had originally expected. Although this is the best year of political spend we've ever had, this slight dip below our expectations has impacted Q4. In addition, like many other media companies and advertising agencies, we also saw a slowdown in nonpolitical advertising leading up to election day, as a number of advertisers held their spend in what they seem to have viewed as a period of uncertainty. With the election now behind us, we expect nonpolitical spending to resume. However, since we can't be certain advertisers will resume their prior spending levels, we reduced our full year adjusted EBITDA guidance to approximately $750 million, as reflected in today's TSA filing, down from the previously announced range of $760 million to $800 million. Turning now to guidance for Q4 and the full year. We expect our Q4 2024 revenues to be up high single digits. We are still closing the month of October, but expect revenues to be up approximately 15%. Turning to the individual segments for Q4. We expect the Digital Audio Group's revenues to be up high single digits, we expect Multiplatform Group's revenues to be up mid-single digits, and we expect the Audio & Media Services Group revenues to be up approximately 50%. We expect to generate fourth quarter adjusted EBITDA of approximately $290 million, up approximately 39%, compared to $208 million in the prior year quarter. We expect our full year 2024 revenues to be up mid-single digits. As mentioned earlier, we expect to generate full year adjusted EBITDA of approximately $750 million, up approximately 8%, compared to $697 million in 2023. Turning to some of the items affecting our full year free cash flow. We expect cash taxes to be approximately 5% of adjusted EBITDA in 2024. Our full year 2024 capital expenditures are now expected to be approximately $95 million. Cash restructuring expenses will be approximately $100 million this year as we continue to execute on new opportunities to optimize our organization for efficiency and growth. And as today's TSA filing also included forward estimates, I want to take a minute to touch on a few of the key 2025 projections included there as well. We expect our full year 2025 revenues to be approximately flat to 2024. Excluding the impact of political, we expect our 2025 revenues to be up low single digits. We expect to generate full year adjusted EBITDA of approximately $770 million and free cash flow of approximately $200 million. At year-end 2025, we expect our net debt-to-adjusted EBITDA ratio to be approximately 5.5x. And as you'll see in today's TSA, we expect that to improve to approximately 3.2x by the end of 2028. We will now turn it over to the operator to take your questions. Thank you.
Operator: [Operator Instructions] Your first question comes from the line of Stephen Laszquez, with Goldman Sachs.
Stephen Laszczyk: Two, if I could. Maybe first on the '25 guide. Bob, your guidance for next year for revenue implies some nice growth in the underlying business, ex political. I'm curious if you could just talk a little bit more about what you're hearing or seeing from your advertising partners that give you confidence in the ad market improving heading into next year, what verticals do you see recovering or outperforming going into next year. And then maybe one for Rich on the EBITDA guide. Your guidance for adjusted EBITDA up $20 million year-over-year for next year, even with $150 million in cost efficiencies. Just curious why more of that isn't flowing down to the bottom line. Could you perhaps help us think about the margin profile of the underlying business and how we should think about the puts and takes of margin next year?
Bob Pittman: Thank you, and let me hit -- look, I think at the end of the day we feel good about next year because I think it's continuation of what we're feeling this year, which is a recovery year. It's a little bit of a backup here waiting to see what happened in the election, and I think the sense you hear from the election regardless of your political belief is people think this is very good for business, and we're hearing that from sort of Main Street on up. So I think that's good as sort of an overall complexion about what's going on. And then I think from our standpoint, it starts with consumers use our products. We have more listeners today on our broadcast radio than we had 10 years ago. And I think there's an increasing realization, pendulum swing, an increasing realization that reach is key. Remember, the marketing formula is basically how many people hear a message times the response rate equal the result. There's been a lot of attention on response rate, and reach got a little forgotten. Given the size we have and the unique scale we have, we think that plays to our strength. I think the second thing to think about is really what ad tech is doing for us. And it is allowing us to take that broadcast revenue -- broadcast radio inventory and put it into digital buys. And we are increasing that. Obviously, we talked a lot about technology in terms of cost savings, but technology is key in terms of our ad tech and allowing us to participate in that, and I think we'll make great progress on that next year as well.
Rich Bressler: And Steve, just to go to your second one and pick up here a little bit in terms of back to the bottom line, I'd just say a couple of things and just to level set, make sure everybody is [indiscernible]. If you look at it, we said net that we're going to reduce our overall cost base by $150 million in 2025 compared to 2024. And just as a reminder, which we all know, next year is a nonpolitical year, and we've indicated that our political revenue, which is slightly higher than the highest we ever had, which is about $170 million. So with all that, we projected out our EBITDA. And I'm not sure everybody has had a chance to look at the Transaction Support Agreement that we filed this morning, but just for everybody's benefit, we announced that our projected number is $770 million of EBITDA. And I would say for context, I think I'm sure most people are surprised that we're projecting an up year after coming off of a presidential election cycle year. And when we announced the cost programs this morning, as Bob highlighted, and the benefit in terms of that we're getting out of technology and still be able to continue to grow revenue, and if you do the straight-up math, you'd say, gee, shouldn't more be falling to the bottom line? But we also -- Bob highlighted in his remarks that we did see a slowdown in some advertising going into the election, like I think many companies did, due to the uncertainty. We are hopeful that that's going to come back very soon, and Bob alluded to that in what he just said in terms of the way people are feeling. But at the same time, I would say that we want to make sure that we're not overly optimistic or, therefore, we're conservative a little bit as we look out into next year's numbers, that that doesn't take away. I think if you look at the, again, Transaction Support Agreement, you'll see that we've got Multiplatform Group growing in the low single digits and DAG growing in the mid-single digits out there. So just a lot of puts and takes there, but we just wanted everyone to have a high level of confidence, as we do, in hitting those numbers, going forward.
Bob Pittman: And if I could just add something, too, it's I think there's a misperception when looking at our company that our fixed costs are static and can only go up. The truth is a company like iHeart will benefit enormously from technology. And I think this cost-cutting and restructuring of the company and how we do business is an example of that. We will -- we expect it to continue, technology to continue, to fundamentally alter the cost structure of our company. And if you think about that, it allows us to bring down costs, improve margins. And you couple that with our high-growth digital business and what we've said before we believe to be in the long term the low-growth, but still growth, Multiplatform business, and you get some understanding about why we're so excited about our future and the role technology will play in delivering that for us.
Operator: Your next question comes from the line of Jim Goss, with Barrington Research.
James Goss: It was interesting that you noted you have more broadcast listeners than 10 years ago. You also -- well, Radio Ink yesterday carried some articles about, I think, some of the consolidation changes you were making, aiming to save millions. And in the past, you have stressed that radio is companionship. I was wondering to the extent that you're making cuts in management, maybe the AI aspects can address that. But in terms of the on-air talent, I wonder if that continues to erode the value of the quality of the offering to listeners and whether that is a potential risk you're facing? Or is --? And how do you do this? Because I think it's all attempted to maintain the profitability of that broadcast sector. So maybe you can discuss that, if you would. And then I have a couple of others.
Bob Pittman: Sure. Look, I think that article got it completely wrong. I think what we're doing is not getting rid of air talent. What we're able to do now because we've got technology is we can take talent we have at any location and put them on the air in another location. So it allows us to substantially upgrade the quality of our talent in every single market we're in and allows us to project talent into the situations in which they're going to have the best impact. You're 100% right, it's all about companionship. And they -- the great talent are great talent because people all want to be their friends. When you look at Ryan Seacrest, he's America's favorite friend. Everybody wants to be his friend. Or Charlamagne tha God or Bobby Bones or Steve Harvey, et cetera. So we are increasing our relationship with the consumer, and we're using technology to do it. Now unfortunately, what that means is that there's not a slot for everybody. Just because somebody is willing to live in the market doesn't assure them that they're the best person for that slot. Before we had this kind of technology, that was the criteria. You had to be willing to live in Hattiesburg, Mississippi, or Jackson, Mississippi, 2 of my old hometowns, in order to be on the radio. Today, technology frees us of that constraint, and our programmers can now make the decision about who's going to be the best talent in that time slot on that radio station, regardless of where they live. In the old days, it cost an enormous amount of money to try and broadcast from another town. It's not an issue today. So I think what we're -- the moves we're making is we're breaking down silos, we are speeding up processes, we're streamlining these legacy systems. And we believe what it does is enable our folks to create more, better and faster. We should be easier to do business with us, easier to get our business done and accelerate not only the listenership, but the revenue growth that comes from that as well.
James Goss: Okay. And a couple of others that might be somewhat related. You outlined your mix between Multiplatform, Digital Audio sales and AMS. 2020, 81% Multiplatform, 12% Digital Audio, to 62% Multiplatform, 31% Digital Audio now. What would that look like in a few years? Do those lines start to cross? And sort of in a related area, you also outlined podcast versus radio in terms of the complementary nature of in-home versus out-of-home. I'm wondering, is there an ability to cross-sell these opportunities, where you can address the people who are interested in in-home in both ways at the same time versus the out-of-home? How do you approach that?
Bob Pittman: Let me start with your second question, is, yes, absolutely. We are -- the question is, how did we get to be so big in podcasting? We're bigger than the second- and third-largest publishers combined. Why? We use radio? We use radio to promote the podcast, but often the podcasts are actually radio-on-demand. I mean, there's an argument, if you sort of think about what is podcasting, that it is sort of the Netflix of the audio business, that if you believe Netflix is sort of TV-on-demand, then podcasting is radio-on-demand. And actually, many of the big podcasts are actually radio shows. The Breakfast Club, one of our biggest podcasts, also a radio show. So yes, the idea of combining the two in terms of appealing to the audience and also combining the two in terms of reach for advertisers, that if an advertiser goes, ;I love this podcast, but I need more reach from it, we go, ;Great. We've got that audience on broadcast radio. So we can now -- now that you know this is it, we've got the looks-like on radio, and we can push that out for you as well. So it works on both the consumer level and also works on the advertising level. And it's really at the heart of our secret sauce about why we've been able to build the podcasts so big. And also, you're right, just having those big podcasts also reflects well on the radio shows, which I think strengthens their appeal as well.
Rich Bressler: The only thing, and I'll come to your first question, I might add, just as a reminder, we have a strategy in the way we operate the company, that any of our almost 1,000 advertising salespeople can sell anywhere, anytime, any place in the country, whether you're a national salesperson or a local salesperson. And when we talk about our audio tech stack and everything we've built out in terms of technology, that supports that strategy. So it's not -- I think this is not theoretical. We've been doing this for a number of years. If you look at in terms of your first question, growth rate, again, I just -- we did put out projections for a number of years. And you'll see in those projections, and I think everybody can then do the math, that we are projecting out Multiplatform, as we've stated previously, we've now just put numbers to it, to be, as Bob mentioned earlier, a low single-digit revenue growth. Again, just remember, tremendous financial characteristics, tremendous conversion into free cash flow, low CapEx, favorable working capital. And then with Digital, we expect the overall DAG Group, which includes podcasting, to be in the mid- to upper single-digit revenue growth, going forward. And you also -- I'll just take a second to comment, because we normally get the question in terms of margins. We tell people on DAG to project out mid-30 type percent margins on an annual basis. Don't look at these quarterly. And again, I think you'll see that for 2024, for this year, that we expect to achieve that goal.
Operator: [Operator Instructions]
Rich Bressler: Operator, why don't we wait for a few seconds, just to make sure everybody has a chance to ask any question they'd like to. Any other questions out there? I want to make sure everybody has a chance.
Operator: There is a question from David Hamburger, with Morgan Stanley.
David Hamburger: So I'm curious, just with regard to the Transaction Support Agreement, how much cash are you allocating to debt reduction? It looks like it's kind of well below your cash balances as they sit today and your expectation for free cash flow of $200 million next year as well. And so can you talk a little bit about, as you think about the leverage and the deleveraging that you'll undertake, how much of that will be attributable to, like, actual gross debt reduction? And to the extent that you have excess cash sitting on the balance sheet, what's your expectation on how you're going to utilize that cash?
Rich Bressler: Thanks for the question. Look, we haven't -- what we stated publicly, let me just go back, in terms of the Transaction Support Agreement and the agreement with, at this point, 80% of our existing term loan holders and note holders, again, I'm not sure everybody has had a chance to read through it and see everything this morning, we're very pleased with the outcome that we're going to extend our maturities to 2029, 2030. I think probably the most-often asked question we've had in the last year or so is, ;Are you going to be able to keep your cash interest expense flat, going forward? And we've essentially done that, and we've captured some debt discount. We haven't gone into any more details other than that. I will point out that today our net leverage is about 7.2x, as we reported. We expect to be down to about 6x. And again, as a reminder, that's EBITDA to net debt. We expect to be at about 5.5x by the end of '25. And if you look at what, again, was filed this morning, we expect to improve to about 3.2x when you get to the end of 2028. So again, very pleased with the progress that we're making. Any other questions? Well, then we want to thank everybody, Bob, myself, the rest of the management team, for listening to the iHeart story. And we are, as always, available for questions once we get off this call. But thank you all for taking the time.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.